Operator: Good day and welcome to Nexstar Broadcasting Group’s 2008 fourth quarter conference call. Today's call is being recorded. All statements and comments made by management during this conference, other than statements of historical fact, may be deemed forward-looking statements within the meaning of Section 21 of the Securities Act of 1933 and Section 21-A of the Securities and Exchange Act of 1934. The company's future financial conditions and results of operations, as well as forward-looking statements, are subject to change. The forward-looking statements and comments made during the conference call are made only as of the date of today's conference call. Management will also be discussing non-GAAP information during this call. In compliance with Regulation-G, reconciliations of this non-GAAP information to GAAP measurements are included in today's news announcement. The company does not undertake any obligation to update forward-looking statements reflective of changes of circumstances. At this time, I would like to turn the conference over to your host, Nexstar President and Chief Executive Officer, Perry Sook. Mr. Sook, please go ahead.
Perry Sook: Thank you, Martin and good morning everyone. Thank you all for joining us to discuss Nexstar’s 2008 fourth quarter operating results. As always Matt Devine, our Chief Financial Officer is here with me this morning. To sum it up, Nexstar performed very well in the fourth quarter, with total net revenue growth of 12.3%. Nexstar exceeded the high-end of our guidance and clearly outpaced our peers. As a matter of fact, Nexstar’s Q4 and full-year net revenues, BCF, and EBITDA reflect record-setting performance for the company. The fourth quarter revenue growth reflects strong year-over-year increases in political, retransmission consent, and e-media revenues which helped to offset the weakness of traditional local and national television advertising spending in the quarter. Our station and corporate personnel deserve both credit and recognition for performing exceptionally well in this very challenging economy. In 2008, approximately $24.4 million was deployed for our digital conversions and the company has an additional $5.4 million of expense to incur in 2009, which will then complete our DTB build out. In Q4, Nexstar repurchased 7.5 million of our 7% senior subordinated notes due in 2014, with approximately 4.5 million of cash on hand. Additionally in Q1 of 2009, we also bought back approximately 29 million of our outstanding notes, and last week we commenced an offer to exchange up to 143.6 million of Nexstar Broadcasting's outstanding 7% senior subordinated notes due 2014 for up to 143.6 million in aggregate principal amount of Nexstar Broadcasting's 7% senior subordinated pick notes due in 2014. As you can tell, Matt is very actively reengineering our balance sheet. In light of disruptions in the credit markets and the economy’s overall deterioration, Nexstar has controlled operating cost to preserve liquidity and remain in compliance with our debt covenants. For 2009, the company has reduced planned capital expenditures; we have reduced corporate overhead and station expenses through staffing consolidations, higher increases except for sales and other initiatives. Going forward, we will continue to evaluate additional measures as needed. I will run through some of the Q4 and full-year highlights, and after that, Matt will provide a financial review both for the quarter and the full year of 2008. Annual gross revenue of $319.5 million and net revenues of $285 million were record-setting achievements for Nexstar. Our gross political revenue for the year was $32.9 million. Nexstar’s e-media and retransmission consent revenue accounted for approximately $32 million of total revenue in 2008 and that represents a 43% increase compared with those totals for 2007. In the fourth quarter, new to television local direct billing total $3.8 million for the fourth quarter, marking a gain of over both Q4 2007 and Q3 of 2008. I think this reflects the effectiveness of our sales teams, even in these challenging times. Another indication of our sales effectiveness in this challenging environment is that four of our top 10 categories were up year-over-year in Q4, with insurance, telecom, legal and radio cable newspaper all ahead of year-ago levels. However, our top 10 total category billing decreased 13% overall with auto and fast food down 25% and 11% respectively. During the quarter, our automotives ad-spend comprised approximately 21% of our core advertising and that is down from 24% in the fourth quarter of 2007. Quarterly retransmission consent revenues of $6.3 million exceeded the Q4 2007 levels of $4.6 million by 37%. We benefited both in the quarter and throughout 2008 by executing new retrans agreements, renegotiating rates on expiring deals, as well as recognizing increased subscribers under certain of our existing agreements. More of the same is in store for 2009 and I will provide some additional detail on all of this after Matt finishes his comments. Our Q4 e-media revenue came in at $2.8 million, exceeding last year's fourth quarter by 24% and the company succeeded in its goal of doubling our annual media revenue last year. In 2008, we recorded over $10.2 million in gross e-media revenue sales. Broadcast cash flow totaled $34.7 million in the fourth quarter of 2008. That is up over 23% from the fourth quarter of 2007 and our EBITDA grew to $30.3 million, which was up over 26% from the fourth quarter of 2007. Let me now turn the call over to Matt Devine to provide deeper detail on our financials after which I will come back and run through some recent developments and talk about the strategies we are taking to weather this current environment. Matt?
Matt Devine: Thanks, Perry. I would like to review some of the key year-over-year Q4 and year-to-date line items on the company's income statement and balance sheet. On the income statement for the quarter, total gross revenues equaled $90.4 million versus $80 million a year ago. That is up 13% on a year-over-year basis. Net revenue reached $80.3 million, up 12.3% versus $71.6 million in the year-ago quarter. Operating expenses came in at $45.6 million versus $43.4 million in the year-ago fourth quarter. Broadcast cash flow reached $34.7 million versus $28.2 million, up 23.3% on a year-over-year basis. EBITDA came in at $30.3 million versus $24.1 million, up 25.6%. Gross local revenues for the quarter were $41.6 million versus $46.6 million in the year-ago quarter, down 10.8%. Gross national revenues were $15.8 million versus $19 million last year. Gross political revenues were $19.5 million versus $1.8 million in the year ago fourth quarter. E-media revenues were up to $2.8 million in the quarter, up 24.2% compared to last year's fourth quarter. The cash portion of our retransmission revenues reached $3.9 million in 2008’s fourth quarter versus $3.1 million in the year-ago fourth quarter. Total retrans revenue came in at $6.3 million versus $4.6 million. Network comp was $900,000 versus $1 million last year, a decline of about 5% and trade and barter revenues came in at $5 million versus $5.3 million in the year-ago fourth quarter. So in spite of the recession, the company generated a healthy 43.2% broadcast cash flow margin in the fourth quarter of 2008. And that compares very nicely to a 39.2% fourth quarter margin of 2007. As Perry noted, the growth in political revenue, retrans and e-media revenue helped to offset declines in local and national advertising as well as declines in network comp and trade and barter. Nexstar’s fourth quarter 2008 corporate overhead totaled $4.4 million and included $400,000 of non-cash employee stock option expense. On a full-year basis, $2.3 million was recorded as a non-cash employee stock option expense. Free cash flow came in at $7.3 million in the fourth quarter of 2008 compared with $9.8 million in the year ago period. As Perry noted, this decline largely reflects the one-time capital expenditures for digital television upgrades, which amounted to $10.8 million of the $12.7 million total Q4 CapEx spending. Excluding the HDTV CapEx, free cash flow was $18.1 million for the quarter. The company's total 2008 CapEx spending was $30.8 million, up from $18.5 million in 2007. And total 2008 HDTV CapEx was $24.4 million. In 2009, the company will incur an additional $5.4 million of CapEx to complete remaining digital television conversion requirements and we will allocate all of the 2009 free cash flow to debt reduction. For the full-year 2008 on the P&L, our total gross revenues were $319.5 million versus $298.4 million in 2007. Net revenue of $284.9 million represents a 6.8% increase versus the year ago. Operating expenses came in at $173.3 million versus $168.3 million in full-year 2007. Broadcast cash flow totaled $11.7 million versus $98.5 million in 2007, up 13.4%. EBITDA of $96.2 million for 2008 compared very favorably to $85.1 million in 2007. Gross local revenues for last year were $171.6 million, which is a 2.3% decline versus 2007’s $175.5 million. Gross national revenues were $66.1 million in 2008 versus $74.3 million in 2007. Gross political of $32.9 million compared very nicely to $4.3 million of gross political in 2007. E-media revenues totaled $10.2 million versus $5.1 million in 2007. Cash retrans for 2008 came in at $14.4 million, up versus $11.8 million in 2007. Total retrans of $21.8 million compared very nicely to $17.2 million in 2007. Network comp for the full-year was down to $3.5 million versus $4.4 million in 2007 and trade and barter for the full year of 2008 came in at $18.4 million, $1 million lower than the 2007 number. So on a full-year basis, the company generated a 39.2% broadcast cash flow margin in 2008 compared to 36.9% in fiscal year 2007. Turning to the balance sheet, cash on hand at 12/31/08 was $15.8 million and that compares with a $16.2 million at 12/31/07. Our outstanding bank debt was $356.2 million at year-end 2008 compared with $356.7 million at year-end 2007. Our 7% notes totaled approximately $191 million at year-end 2008 compared with $198 million at year-end 2007. And as Perry mentioned, during the fourth quarter, the company repurchased approximately $7.5 million of our 7% senior subordinated notes for $4.5 million dollars that generated with cash flows from operations. At the holding company level, our fully accreted 11.375% notes, which became cash pay effective April 1, 2008 totaled $77.8 million at 12/31/08, down from $126.5 million at 12/31/07. Our 12% senior subordinated pick notes amounted to $37.3 million at 12/31/08. Gross total net debt at 12/31/08 was $646.3 million compared with $665 million at 12/31/07. Total leverage at December 31, 2008 was 6.18 times compared to a permitted leverage covenant of 6.5 times. Pro forma for the deleveraging impact of our previously-announced acquisitions of KARZ in Little Rock, Arkansas and WCWJ in Jacksonville, Florida, our total leverage at 12/31/08 is 6.13 times. We have moved total leverage down from 8.3 times at the end of 2005. Our covenant stepped down to 6.5 times at the end of 2008 and it remains at that level for the next 18 months. Our credit agreement includes the restricted payment basket that allows up to $10 million of annual bond repurchases. In the fourth quarter of 2008, we had exhausted that annual basket by buying in some of our 7% notes as we previously mentioned. In Q1 of 2009, we exhausted the 2009 basket by repurchasing approximately $29 million of our outstanding notes. This represents a 64% discount and almost all of our repurchased notes or more expensive cash paying 11.375% securities. Last Friday, Nexstar Broadcasting commenced an offer to exchange up to $143.6 million aggregate principal amount of its outstanding 7% notes due 2014 in exchange for $143.6 million in aggregate principal amount of Nexstar Broadcasting 7% senior subordinated pick notes due 2014, to be guaranteed by each of the existing guarantors to the old notes and some cash. The exchange offer is being conducted subject to the terms and conditions set forth in the Offering Memorandum dated February 27, 2009 and the related letter of transmittal. The exchange offer is subject to certain conditions, including the minimum tender condition that Nexstar Broadcasting receives valid tenders for at least $114.9 million of the aggregate principal amount of the old notes. The exchange offer is a private offering, being made pursuant to an exemption under the Securities Act of 1933 and is subject to exchange offer documents distributable to eligible holders of old notes. As a result, Nexstar is unable to comment on the exchange offer at this time. Given the uncertain economic conditions, Nexstar has discontinued the practice of providing quarterly guidance for net revenue, station operating expenses and corporate overhead. That concludes the financial review for the call and if there are modeling questions, I will be available in the office and we can address them specifically. Let me now turn the call back over to Perry for some additional remarks before Q&A.
Perry Sook: All right. Thanks very much, Matt; great job. Nexstar has responded to the challenging environment that emerged in the second half of 2008 and I'm proud that our team made our goals in terms of political revenue targets. We achieved the growth we projected for retransmission and e-media revenues and took actions to address our leverage and reduce our expenses. But we are not content just to survive in this environment; we remain focused on building value and exploiting the still untapped opportunities before us. We have made further progress in strategically expanding our station portfolio with our announced acquisition of WCWJ in Jacksonville, Florida and the soon-to-be completed acquisition of KARZ, formerly KWBFTV in Little Rock, Arkansas. Both of these transactions fall under the category of being opportunistic and both will be both accretive and deleveraging. KARZ, which will close now before the end of March will complement our existing Little Rock station KARK, the local NBC affiliate and upon completion, Little Rock will represent the 19th market where we provide services to more than one station. Post closing our immediate initiatives, we will focus on extracting financial synergies, leveraging our existing local sales team, our award-winning local news and our substantially successful e-media operation in Little Rock across both of these stations. In addition, under our ownership, KARZ will generate retransmission revenues for the very first time. Our agreement to acquire WCWJ in Jacksonville, Florida CW affiliate marks Nexstar’s entrée into the Florida market and the space largest city and it will represent our 52nd television station. Upon closing, we anticipate following the FCC approval in the second quarter. The contributions from this station will immediately benefit from the application of our retransmission consent agreements and the launch of our e-media offerings through the company’s proven community portal model for Jacksonville. While the visibility on our core business is certainly tough, our developing digital revenue initiatives will help to minimize the impact of the significant drop-off of political revenues in 2009 relative to 2008. In terms of retrans, we announced last month that we completed the first phase of our round 2 carriage agreement negotiations and we have renewed or reached new multiple retransmission consent agreements with 179 cable operators, direct broadcast satellite providers, and telecos. These agreements are expected to generate more than $75 million in revenue to Nexstar over their terms with approximately one third of that revenue to be realized in 2009. So for 2009, we will record an increase in excess of 25% in retrans revenues over the 2008 levels and that is contractual and not obviously reliant on the state of the ad market. I think that this outcome is well ahead of expectations and Nexstar has several additional retransmission agreements, which will be renegotiated in 2009. So we expect further upside to the annualized run rate of our retrans revenue stream, not only during this year but also in future years. So the increase will be significant in 2009, another substantial jump in 2010, when we will have a full year run rate of most all of our major agreements renegotiated. Our e-media story continues to be compelling. We are selling hyper local advertising on our commodity portals and we and we get the revenue here at corporate obviously. We are not in the business of trying to sell the most page views or the most visitors to national advertisers. We're focused exclusively on our hyper local strategy and as we reported this morning, the revenue for 2008 was up 100% over 2007. Our online initiative is leveraging our brand and our confidence and our local relationships of our local television stations to launch and build the separate business. Our online revenue growth has been nothing short of remarkable I think and we look for substantial double-digit growth in that revenue stream again in 2009. In addition to our balance sheet reengineering that Matt has talked about, we are also actively taking further action on cost take outs. The company is undertaking a centralization effort to consolidate many of our back operations for traffic, master control and accounting into a select number of regional hubs. Nexstar will continue to pioneer on several fronts and I look forward to further building on our quadruple play of opportunities, meaning traditional media, subscription-based revenue, our e-media platform, and our yet-untapped digital and mobile media platforms. The world is certainly challenged and media is challenged as well, but we at Nexstar are taking this challenge head-on and we expect to continue to come out on top of the industry in terms of performance. With all of that said, now let us get your Q&A, so we can address your specific areas of interest. Martin, we will turn the call back to you.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from the line of Bishop Cheen with Wachovia. Please proceed with your question.
Bishop Cheen – Wachovia: Hi, Perry, Matt, thanks for taking the question. Just some housekeeping questions; let me just billboard them, not many. A little more color on cost reduction and remind us again what is left on the M&A, the two stations, how much cash you will need to the outlaying and on the Q1 buyback of mostly the 11.375%, that was a phase for the $29 million, how much did you spend in Q1 for those buybacks?
Matt Devine: Hi, Bishop, this is Matt. Thanks for the question. Let me start off with the Q1 buyback. We expended a little under $10 million to buy in a little under $30 million of our outstanding securities, all but $1 million of that was the 11.375% notes. And so, if you calculate that, that comes down to something around $0.35 on the dollar that we bought in note securities. The question right before that I think addressed our pipeline acquisitions?
Bishop Cheen – Wachovia: WCWJ.
Matt Devine: That is correct and in the case of KARZ, our second Little Rock station, that purchase price is a little over $3 million and we have got an escrow deposit up there. We already have several hundred thousand dollars and we actually expect to close on that station next week, Bishop and we think that is going to be a great acquisition for us. It comes to us at a multiple that we believe is less than five turns and so we're excited about getting that in the portfolio expeditiously. The second one is WCWJ in Jacksonville, Florida. We're planning on that closing on around June 30, July 1 and that is a station similar to the KARZ from the point of view that we will pay a number of between 16 and 16.5 for that property and the believe the cash flow that comes in on a pro forma basis to us will be a number of somewhere around $3.5 million. And so we will fund both of those transactions, the smaller transaction equity just out of cash on hand and the second transaction, if we need to draw on our revolver, we will, but that draw shouldn't be significant. And then the other item?
Bishop Cheen – Wachovia: The cost-reduction question Matt, I don’t know if you can help quantify what your goal is and also against what you think might be the one-time charges that you have to book through as well.
Perry Sook: Sure. Let me start and then Matt can pick it up, Bishop. We went into the year with a mandate of budgeting operating expenses at 5% below 2008 actual levels. So that was the starting point for our discussions. Subsequent to that, you have DTB analog turnoffs, you have this regional hub consolidation that net of any severance costs, we anticipate will be an additional $2 million of operating expense savings and we have been able to pick up some one-off things along the way here in terms of reducing our power aggregation costs and other technology improvements that have allowed us to improve the efficiency of workflow, particularly in news operations. So when we talk about the $2 million for the regional hub consolidation that is net of any potential severance obligations. In 2009, that would be the actual numbers recognized. The full year run rate of those fully consolidated operations is obviously a number north of that. So is that responsive to your question?
Bishop Cheen – Wachovia: So then most of the cost reduction is going to be in the regional hub consolidation and as part of the switch analog to digital, and I think you said roughly it is a $2 million savings almost immediately to capture rate once you make the switch on a run rate basis?
Perry Sook: That is correct. We have 16 out of the 47 full power TV stations that Nexstar owns. The analog was turned off on February 17. We are attempting to turn off another 11 of our television stations prior to the June 12 deadline for various extenuating circumstances and then that would leave another 22 of our full power television stations that we would turn off on June 12, turn off the analog. So yes, the full year run rate is a number north of $2.5 million of electric costs, but all of those items would be on top of the 5% operating expense reduction mandate that went into 2009 from a budgeting process.
Bishop Cheen – Wachovia: Right. And that is the big number. And that 5% of the operating expense mandate, that is like a run rate expected to be mostly captured throughout calendar of 2009 or would that bleed over into calendar 2010 as well?
Perry Sook: No that will all be captured in the calendar year. Our total operating expenses in 2008 were about $173 million. So you can do the math.
Bishop Cheen – Wachovia: Okay, yes, that was very helpful. I appreciate the answers.
Operator: And our next question comes from the line of Jason Almiro [ph] with ING Investment Management. Please go ahead with your question.
Jason Almiro – ING Investment Management: Thank you for taking my call. I was wondering if you could provide a little bit more color on that exchange, specifically on how might that impact senior secured lenders in your covenant?
Matt Devine: We mentioned that it is a little bit of a gamble on our related to talking about the exchange especially while it is in the marketplace. So I really can't get into details on that with you, Jason, unfortunately, but I think it suffices to say that by utilizing pick notes as opposed to current cash-based securities, that will help us give us a larger cushion between our projected total average and our covenants, larger than what we have now and so we just feel that it is just the prudent thing to do in spite of what appears to be an extended recessionary environment.
Jason Almiro – ING Investment Management: Okay, thank you.
Operator: And our next question comes from Barry Lucas with Gabelli and Company. Please proceed with your question.
Barry Lucas – Gabelli and Company: Thank you. Good morning, Perry and Matt. Couple of items; you said about $5 million in change is left to be spent on the digital upgrades in 2009. What would total CapEx in 2009 look like?
Perry Sook: Yes, Barry, thank you. As reported this morning, our CapEx for 2008 ended up the year at about $31 million and CapEx for 2009 all in will be somewhere in the $10 million to $11 million range, when it is all said and done.
Barry Lucas – Gabelli and Company: Okay. Does that mean that a maintenance level is really under $10 million or almost in that $5 million, $6 million range?
Perry Sook: Well we obviously are pulling in the reins and in lockdown mode as it relates to CapEx and are looking only to fix things that are mission-critical and/or things that break. I think a true maintenance CapEx [inaudible] run rate probably is in that $10 million range, but obviously we have tightened the screws down very tight to navigate through 2009 and basically it is a maintenance and contingency budget. A couple of contracted obligations for newsroom conversions, which will develop productivity improvement, but we have deferred as many of those as we can out of 2009. So the $10 million to $11 million for 2009 is a real lockdown number.
Barry Lucas – Gabelli and Company: Okay, that is great. Let me ask you something a little bit more strategically oriented, Perry. When you look at this planned acquisition of the CW in Jacksonville, I would sort of like to know how that fits in, how you really make money there with the long haul if you look at Jamie Kelner and Ann Acne and their ability, their inability let us say, to make money in standalone CWs, what is the plan there?
Perry Sook: Sure, we're obviously waiting for FCC approval and want to be careful there and do not want to give our competitors too much information, but this is already a very successful station and in a market that we think has a huge long-term upside potential, with the Jacksport shipping literally doubling in size and the announcement of a new nuclear submarine base to be based in Jacksonville, we think we will be a floor under this economy for years to come and again, taking that three to five year view, we think this is a great time to buy beachfront property at distressed prices. Obviously, the station has no local content on it. We think there are opportunities there. There is really not an e-media revenue push at the television station. We will hub ultimately certain functions of that station out of our existing hubs. It operates right now by and large from traffic accounting business as a stand-alone entity. And we think being part of a larger group business, we looked at line items expenses, a 52-station group can buy things on a pro-widget basis a lot cheaper than a much smaller group can. So all of that figured into the calculus, plus the day we take over this station, there will be excess of $700,000 of retrans revenue that will begin to flow to the television station for the very first time. So those are all of the keys, and again from a portfolio standpoint, we had no CW affiliates other than the license we hold in Harrisburg and we thought that a little exposure to that brand would be just fine. So we also note that there are a lot of college and professional sports opportunities in Jacksonville currently without an enthusiastic broadcast home and we think there will be opportunity there as well to build out a local identity for this television station beyond the CW.
Barry Lucas – Gabelli and Company: Great. Thanks very much.
Operator: And our next question comes from the line of John Kornreich with Sandler Capital. Please proceed with your question.
John Kornreich – Sandler Capital: Yes, good morning. Matt, with a projected $20 million drop in CapEx, are you realistically hopeful that you can maintain the 2008 level of free cash flow?
Matt Devine: Yes, John.
John Kornreich – Sandler Capital: At $26 million?
Matt Devine: Yes, I think again I think shedding all of that one-time HD CapEx expense and getting that behind us is going to translate very nicely into free cash flow. So yes, I endorse those numbers.
John Kornreich – Sandler Capital: Okay, great. A very, very gut instinct response I am looking for. You mentioned the words beachfront property a minute ago. Speaking of beachfront property at a discount, your company has virtually no equity value and the bonds; you bought back bonds at $0.35 to the dollar. So, basically, the capital markets are saying there is a decent chance you are not going to make it, financially, not as an operating company but financially, that you are a real candidate in the not-too-distant future. I mean after all, the free cash flow per share actually exceeds your stock price. That is a pretty amazing thing, the Street is saying something and I mean the Street may be a dumb ass, but that is what it is, it is just a pretty amazing turn of events that your actual current free cash flow per share exceeds stock price and the bond securities traded at massive discount. So there is tremendous skepticism about your viability. What is your gut reaction to this?
Perry Sook: Well, I first of all, try not to take it personally, John, but second of all, I think you if you look at the equity prices of just about every one of our peer group out there, it feels like we are shopping at the $0.99 store, everything is a dollar.
John Kornreich – Sandler Capital: At most.
Perry Sook: Yes, that is true. All I can tell you is I would not bet against us. I mean with the operating – this entire corporate staff saw no bonuses last year, we will not see bonuses this year, my regional Vice Presidents, our co-COOs are both on the road today and everybody is working harder than ever before, because we believe that if a company survives or a handful of companies survive in 2009 and moves past this choppy water, that we are going to be one of those companies. And again I just look at our results in the fourth quarter and you know it was a tough quarter for everybody else included and we got a double-digit revenue increase in the fourth quarter. I have looked at everything that has been posted thus far, I can’t find another one. So I think that it is tough for everybody, certainly tough for us, we are into this thing eyes wide open between the debt exchange, the debt buyback, the operating expense reductions, the hub consolidations, buying stations at multiples left in our debt outstanding multiple; I mean all of those things taken together and we have got a very engaged and active Board. I mean we have been in touch with them on a weekly basis that everybody is focused and I can tell you we're not just taking business as it comes. I think we have continued to pioneer in retrans we have pioneered in e-media. We have got other things that we plan to work on here and obviously, if you look at the amount of stock, at prices in excess of what it is trading at this morning, that Matt and I have bought over the last year. We are believers, and we are not in this for anything other than the end of the day in realizing that equity value along with all of our shareholders. So all I can say is that I wouldn't bet against us.
John Kornreich – Sandler Capital: Without mentioning the amounts, when was the last time that you and Matt bought back stock personally?
Matt Devine: When we announced our Q3 earnings, John.
Perry Sook: Same for me. If you look at it, there were in excess of 40 insider purchases in 2008 and over half of those came in the fourth quarter, after we announced our third quarter numbers. And I mean it is our Director of Engineering, it is Co-COO, members of the Board of Directors and folks that are [inaudible] members of the Board of Directors are buying the shares personally. So I think that we – our absolute focus is to survive 2009 to stay out in front of coveted issues that we have. If you look at what should take place in terms of political, e-media and retrans revenue growth in 2010, the core business will be an important part of that, but certainly not the only part of that. E-media, retrans and political in 2010 could be $90 million to $100 million to this company and the EBITDA from that would be more than the company generated in total in 2005. So again, we are focused and the T-shirts say, survive 2009 and we will win in 2010. So that is the operating philosophy and day-to-day execution and mandate here at the company.
John Kornreich – Sandler Capital: Thanks a lot. Hey, Matt, go out and buy 100 shares.
Operator: And our next question comes from the line of Dennis Leibowitz with Act II Partners. Please proceed with your question.
Dennis Leibowitz – Act II Partners: Thanks. I have two questions. One, Matt, I think you mentioned the national business excluding political was down something like 17%, I think it was in the fourth quarter, I don't remember what you said about local. Is that continuing in the first quarter and is that consistent with your answer to John's question about being free cash flow positive for the year? The second question is on the retrans, did you say it was up 25%, I am confused with the 130 for $25 million, what I am trying to get at is, what is the year-to-year increase?
Matt Devine: Okay. Let me get some of that, Dennis. As far as retrans goes year-to-year, 2008 total retrans was $21.8 million versus 2007 $17.2 million and so that was up 26.7%.
Perry Sook: Let me just jump in too, Dennis. You had asked the question about, I guess trajectory of local and national. Matt did report that local for the fourth quarter, obviously, these numbers are excluding political, it was down 11% and national down 17%. I think that trajectory certainly continues into the first quarter. I think local will be in that same neighborhood and national will be marginally worse than that. I heard numbers of other folks projecting down 40% and 50%. That is not the story here, but it will be worse than the minus 17%.
Dennis Leibowitz – Act II Partners: And that trajectory, I mean, if it were to continue for a lot of the year, would you still be free cash flow positive for the last year, would you be positive?
Perry Sook: Well, we don’t project that trajectory to continue for the entire year. We obviously have that model built and we know what things look like and that is a real tough pot, but I can tell you that we project second quarter will look a lot like first quarter and there will be marginal improvement in the third quarter and then fourth quarter, core revenues could be flat or slightly up due to the crowding out of political in 2008 Q4. So that is the model in the scheme as we are working with here but we have built the keys which you looked at and no, we would not maintain the free cash level if it was minus 11% and minus 17% for the full year.
Dennis Leibowitz – Act II Partners: And on the retrans, what I was trying to get at was not 2008 versus 2007, but 2009 versus 2008.
Perry Sook: Okay, we reported that in the press release a few weeks ago that these new agreements, the total cash revenue to the company was in excess of $75 million and we expected to recognize a third of that cash in 2009 and that is just from those negotiations and so we are starting with a base, everybody can do the math of about $25 million, which is about a 25% increase over the prior year, but there are several agreements that – and one pretty good sized one, which shall remain nameless that is up for negotiation in the middle of this year and several more at the end of the year. So I think there will be upside for that number because of the one substantial agreement that is up for negotiation in June and then I've got a handful of pretty good sized agreements up at the end of the year, which will influence the 2010 number, plus the escalators in the current agreements that will quick up in 2010 as well.
Dennis Leibowitz – Act II Partners: Okay, thanks.
Operator: And our next question comes from Andrew Finkelstein with Barclays Capital. Please proceed with your question.
Andrew Finkelstein – Barclays Capital: Hey, guys. Good morning. Perry, if I could just follow up on the retrans thing. I’m sorry for having you go through that again, but just so we understand that the incremental that we should be looking for. Because I know, on the past conference call, you talked about replacing two-thirds of the political in 2008 with retrans and, I think, e-media revenue. So, we’re just trying to put that the recent press release on the retrans sales with that sort of comment.
Perry Sook: Okay. So, what can I help you with?
Andrew Finkelstein – Barclays Capital: Just the incremental retrans for ’09 versus ’08 and is that the target of the two-thirds of the political sales where you think things are going to come out?
Perry Sook: Well, two-thirds of the political will go from $32 million down to a number of about $4 million to $5 million this year. So, you’ve got a $27 million and two-thirds of that would be $18 million roughly. You’ve got growth of e-media and growth of retrans. The $25 million number for this year is kind of the baseline number before the impact of the additional agreement that expires at midpoint of the year. So, yes, I think you can still add those numbers up to numbers that gets you into that same neighborhood.
Andrew Finkelstein – Barclays Capital: Okay, great. And then, Matt, maybe any thoughts on liquidity? You obviously spent some money to buy back some bonds at a deep discount in the first quarter. You’ve got the acquisitions coming up. You’d potentially have the cash payment as part of the swap deal in acquisitions. So, obviously, it’s going to take some spending to get these things done. Good in the long run, but your short-term liquidity, any thoughts, and the revolver?
Matt Devine: Well, we’ve looked pretty closely at all of that, Andrew, okay? And it doesn’t seem to present us with a problem. We have a very full cash position today. We have plenty of availability left under the revolver. The transactions that we’ve talked about are deleveraging transactions, and so, as we model it out, we don’t see any liquidity crunch happening for us. As you know, we always keep on hand a number of $15 plus million of cash at the end of the day – and at the end of everyday, I guess I should say. And so, we maintain that amount, okay, through our projections for this year.
Andrew Finkelstein – Barclays Capital: Can revolver – can you tell us where the revolver currently is? Is that today drawn?
Matt Devine: You know, I don’t have that number in front of me my friend. Let me see if I can – yes, I just don’t have that number in front of me.
Andrew Finkelstein – Barclays Capital: Okay. Thanks a lot.
Operator: (Operator Instructions) And we have a follow-up question from the line of Bishop Cheen with Wachovia. Please proceed with your question.
Bishop Cheen – Wachovia: Hey, Matt. Thanks for taking it. I just want to follow up on where Andrew was going. I don’t think it doesn’t look like there’s a liquidity problem either, but we always like to quantify things. Being geeks, it is our nature. So, look, you have – and I’m ballparking here – roughly, when I look ahead the next few months, $19 million outlay for the two stations, $18 million outlay for the debt exchange pro forma, it is successful. And then, you’ve already spent $10 million roughly on the buybacks, so that’s a $47 million outlay from your revolver between now and June. Granted $16 million of it, let’s say, come to June, but that’s $47 million. So, ballpark, where was the availability? I know that the K isn’t out yet, but when I looked through the Q of September, I think you have actual availability of roughly $19 million based on the most restrictive covenant and there was a full availability without covenant of something like $70 million back then. So, I’m just trying to foot to where we are now. Can you give us a little guidance?
Matt Devine: I can’t do the math for you, okay, right now, but I can tell you some data points if that is helpful. I mean, our revolver –
Bishop Cheen – Wachovia: Sure.
Matt Devine: Okay. Our revolver, okay, was drawn at year-end, okay, to the tune of $31 million. The revolver in total is $97.5 million. We’ve got record-setting EBITDA, et cetera, okay, as we mentioned, our leverage at the end of the year, okay, was close to $6 million, then it was $6.5 million, the covenant.
Bishop Cheen – Wachovia: Right.
Matt Devine: Okay? And again, we keep a fair amount of cash on hand until – the cash on hand, obviously, makes its way into the equation too. Obviously, with the exchange that is in the marketplace, that proves helpful to us on many fronts, okay? And so, I don’t see a liquidity event.
Bishop Cheen – Wachovia: Right. It sounds like it all comes down to the exchange freeing up capacity on to – I mean, the capacity seems to be there, clearly, on the revolver. It is just a question of whatever restrictions are in the way of using that capacity and the debt exchange should help a great deal.
Perry Sook: I think that’s right, Bishop. I mean, our revolver draws are really governed by our covenants on our senior credit agreement and, obviously, pro forma for the exchange. There will be substantial covenant room on both total and senior leverage.
Bishop Cheen – Wachovia: Okay. And then, just to follow up and the end of my granting precision. Again, to end this question, we’re trying to replace, on a gross level, $27 million, the difference between $32 million of gross political and, let’s say, $5 million of gross political.
Perry Sook: Right.
Bishop Cheen – Wachovia: So, again, with the retrans, it sounds like we get about $4 million coming our way this year. And then, with e-media growing like topsy, it looks like there’s implied $20 million in 2009. I don’t want to over-manage anyone’s expectations. And then, maybe another couple of million on a run-rate basis of more annual retrans to come and I can get there to the $27 million. Is that the way to think about it?
Matt Devine: Yes. I think I’d round the numbers a little differently than you did, Bishop, but I think the whole is that some of those parts that you just recited.
Bishop Cheen – Wachovia: Okay. Did I grossly misstate anything like the e-media going toward a $20 million number? Wasn’t this a 10-ish?
Perry Sook: Right.
Bishop Cheen – Wachovia: Right. So, it’s a double again? And roughly, $3.5 million, $4 million on the incremental retrans, and then more to come with the negotiations underway?
Perry Sook: Yes. And not to put too fine a point on it, but if we put out a press release with some sort of guidance to an 2009 number, you have to know that we’re going to leave ourselves some headroom vis-à-vis what our actual expectations are in that number. So, yes, I think Matt’s right. You might round your components a little differently, but you’re on the right track.
Bishop Cheen – Wachovia: Okay. And then, on the retrans, if you said it, I apologize. The mix, has the mix been improving on our cash to trade? You were always kind of ahead of the game in kind of a two-thirds, one-third kind of mix.
Perry Sook: Yes. It’s not a cash and trade. It is cash and ad spend. There is no trade. This is, we do –
Bishop Cheen – Wachovia: No, yes. Cash and ad spend. I don’t mean trade.
Perry Sook: And you’re right. In 2008, that mix was approximately two-thirds, one-third and again, in 2009, that mix will be approximately 80/20 cash versus ad-spend.
Bishop Cheen – Wachovia: So, you’re moving in the right direction then?
Perry Sook: We would like to think so.
Bishop Cheen – Wachovia: Yes. All right. Thank you, gentlemen. Appreciate it.
Operator: And our next question comes from the line of Edward Atorino with Benchmark. Please proceed with your question.
Edward Atorino – Benchmark: Hi. Two questions, I just want to clarify my understanding. As a result of the swap, the pick debt does not – does the pick debt count under the bank covenant ratio, number one? And number two, I know this isn’t related to debt, but the retrans – if you take the $75 million, take a third, it’s $25 million, that’s a cash number you’re talking about, right, on the retrans?
Matt Devine: Yes, two questions. The first question answer is no and the second question answer is yes.
Edward Atorino – Benchmark: So, no, meaning it doesn’t count under the debt agreement.
Matt Devine: That’s correct.
Edward Atorino – Benchmark: Okay.
Matt Devine: It’s basically identical to the 11.375% security that we had that when cash pay, as you know.
Edward Atorino – Benchmark: Right. So, through the swap base, you got a little more cushion under the covenant?
Matt Devine: Yes, we would have more cushion; absolutely.
Edward Atorino – Benchmark: I haven’t done the number, but the other pro forma [inaudible].
Matt Devine: Well, as you know, I can’t talk about that stuff.
Edward Atorino – Benchmark: Yes, okay. I’ll figure it out. I’ll figure it out.
Matt Devine: The only data point –
Edward Atorino – Benchmark: And the retrans is a cash number. And one other question, if you look out a year, New Media looks like – I mean, could you be 15 this year on New Media if you ramp that up or is that too optimistic?
Perry Sook: If we’re 15 on e-media, I will be dramatically disappointed.
Edward Atorino – Benchmark: Okay.
Perry Sook: We’ll be substantially above that.
Edward Atorino – Benchmark: Okay.
Perry Sook: It won’t be –
Edward Atorino – Benchmark: So, you’re still on a double track, I guess.
Perry Sook: Yes. It won’t continue to double for forever, but we expect a substantial increase this year as we’ve discussed and another substantial increase next year as well. We’ll be bringing a couple of new stations onto the platform as well and I want to take a moment to talk about our station. Our NBC affiliate in Little Rock, Arkansas generated over $1 million in e-media revenue on their own and that’s in a mid-50s. I think it is market ranked 57, so that works out to about $2 a television household in e-media revenue. And if we did that across our 10 million plus household base, just to bring everybody up to last year’s performance standard, we’d be a number of 20 million. And we’ve got more products that we’re adding and more revenue applications and more passive revenue, PayPal applications, things like that, that are being lumped on to this as well.
Edward Atorino – Benchmark: That 20 million –
Perry Sook: So, not to put too fine to point on it, but that is a continued growth driver for the company.
Edward Atorino – Benchmark: That 20 million would be ’09 or ’10? ’09?
Perry Sook: Well, I think that – yes, if everyone performed at the level of our Little Rock, Arkansas station at roughly $2 a television household, total immediate revenue would be north of $20 million based on our household coverage, so that would be the aspiration for 2009. Obviously, we’re sailing into some significant headwinds in the economy, but yes, just to come back to your initial question, Ed, if we end up at 15 million, there’ll be a lot of unhappy faces around here.
Edward Atorino – Benchmark: Okay, thanks.
Operator: And our next question comes from the line of Joel Stein [ph] with Wells Fargo. Please proceed with your question.
Joel Stein – Wells Fargo: Thank you. My question was already asked.
Operator: And there are no further questions at this time. I now turn the call back to you. Please continue with your presentation or closing remarks.
Perry Sook: All right, Martin. Thank you. I want to thank everyone for taking the time to join us and we look forward to convening again in about three months’ time to report on first quarter and additional visibility on the remainder of 2009. Thanks again.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.